Operator: Good day and welcome to CONSOL Fourth Quarter 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Nathan Tucker, Director of Finance and Investor Relations. Please go ahead.
Nathan Tucker: Good morning everyone and thank you for joining us. Welcome to CONSOL Energy's fourth quarter and full fiscal year 2023 earnings conference call. Any forward-looking statements or comments we make about future events are subject to risks, certain of which we have outlined in our press release and in our SEC filings and are considered forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. We do not undertake any obligations of updating any forward-looking statements for future events or otherwise. We will also be discussing certain non-GAAP financial measures, which are defined and reconciled to comparable GAAP financial measures in our 2023 fourth quarter and full year press release, furnished to the SEC on Form 8-K, which is also posted on our website. Additionally, we expect to file our 10-K for the year ended December 31st, 2023 with the SEC this Friday, February 9th. You can find additional information regarding the company on our website www.consolenergy.com, which also includes the supplemental slide deck that was posted this morning. On the call with me today are Jimmy Brock, our Chief Executive Officer; Mitesh Thakkar, our President and Chief Financial Officer; and Bob Braithwaite, our Senior Vice President of Marketing and Sales. In his prepared remarks, Jimmy will provide a recap of our full year 2023 achievements and a detailed discussion of our operation. Mitesh will then provide an update on our marketing and financial progress, and introduce our 2023 guidance. In his closing comments, Jimmy will recap our capital allocation progress and lay out our key priorities for 2024. There will be a Q&A session following our prepared remarks in which Bob will also participate. With that, let me turn it over to Jimmy.
Jimmy Brock: Thank you, Nate. Good morning everyone. CONSOL Energy followed multiple record-setting achievements in 2022 by surpassing many of those same metrics in 2023. With respect to our operations, CEIX achieved record throughput tonnage and revenue as the CONSOL Marine Terminal and the Pennsylvania Mining Complex achieved record average realized coal revenue per ton sold on an annual basis. From a full year financial perspective, CEIX achieved record net income, EPS, adjusted EBITDA, and most importantly, record free cash flow generation. We took advantage of our strong free cash flow to advance some of our key strategic initiatives in 2023, including achieving our debt reduction goals, returning meaningful capital to our shareholders, and enhancing our liquidity through cash generation and upsized revolving credit facility. Now, let's discuss our operational performance in detail. On the safety front, our Bailey Preparation Plant and CONSOL Marine Terminal each had zero employee recordable incidents during the full year of 2023. Our coal operations finished the year with a total recordable incident rate, approximately 33% below the national average for underground coal mines. Coal production at the Pennsylvania Mining Complex came in at 6.6 million tons in Q4 2023, an improvement compared to 6.1 million tons in the prior year period. Production improved in Q4 2023 compared to Q4 2022 due to the availability of the fifth longwall in 2023 versus only four longwalls running in 2022. As such, the PAMC ended the year with an annual production of 26.1 million tons, marking its third consecutive year of production growth and its first time surpassing 26 million tons since 2019. On the cost front, our PAMC average cash cost of coal sold per ton for Q4 2023 was $36.28 compared to $34.89 in Q4 2022, mostly due to continued inflationary pressures on supplies, maintenance, and contractor labor at our operations. However, our Q4 2023 cash cost of coal sold was more than $2 per ton lower compared to Q3 2023, mainly due to the incremental production tons in the fourth quarter. On a sequential basis, Q4 2023 also benefited from having zero longwall moves. Looking ahead, simply due to the timing of our mining, we expect three planned longwall moves to occur at the PAMC in the first quarter of 2024. However, after Q1 2024, we expect to have only 1 longwall move for the remainder of the year, which is planned for the third quarter. Moving on to Itmann. During the fourth quarter of 2023, the complex sales performance improved to 159,000 tons of coal including third-party tons compared to 123,000 tons in Q3 of 2023. This brought our full year 2023 results for Itmann to 316,000 tons of production, and 515,000 tons of Itmann and third-party coal sales in aggregate. During the fourth quarter, all three operating sections continue to mine additional height for mains development, which requires cutting additional rock and slows mining rates. Furthermore, we continue to be impacted by equipment delivery issues and higher employee turnover ate Itmann in Q4 2023. Once we've completed our long-term mains development this year, we will operate the mining sections and targeted blocks of coal reserves. This is expected to lead to more efficient mining heights and improved production rates. As such, we expect to increase our sales tonnage in 2024, which is reflected in our guidance for the Itmann Mining Complex. Moving to the CONSOL Marine Terminal. We achieved a throughput volume of 4.7 million tons during Q4 2023 compared to 3.6 million tons in the prior year quarter. Terminal revenues for Q4 came in at $25.4 million and CMT operating cash costs were $6.8 million. For 2023, the Terminal will achieve multiple operational and financial records. CMT finished the year with 19 million throughput tons, surpassing the previous annual throughput record of 14.3 million tons set in 2017. Terminal revenue for 2023 surpassed $100 million for the first time, finishing at $106.2 million. The CONSOL Marine Terminal finished 2023 with adjusted EBITDA of $80.3 million, by far the highest level in its history. Also, keep in mind that this was all achieved without any employee recordable safety incidents during the year. With that, let me turn the call over to Mitesh to provide the marketing and financial updates.
Mitesh Thakkar: Thank you, Jimmy and good morning everyone. Let me start with an update on the marketing front and our contract in progress. Demand for our product remains strong during the fourth quarter of 2023 and we finished the year with 26.6 million tons sold in aggregate between PAMC and Itmann during 2023 with a total of 16.2 million tons moving into the export market, which was the highest annual level in our history. During 4Q 2023, we sold 6.8 million tons of PAMC coal at an average realized coal revenue per ton sold of $74.54 compared to 6.2 million tons at $75.92 in the year ago period. Nearly 60% of our PAMC volumes were sold into the export markets during the quarter. This brought total PAMC sales to 26 million tons for the year. We achieved another important milestone in 2023, as sales into the export industrial market outpaced sales into the domestic power generation market, which has been an important strategic priority for us. Overall, sales into the export market for 2023 accounted for 70% of our total recurring revenues and other income. Conversely, domestic power generation sales accounted for only 26%. Since our last earnings call, our sales team increased our forward sold position at the PAMC by 4.7 million tons. The majority of these tons were sold into the domestic market under a fixed price arrangement through 2028. As such, we now have 22 million tons contracted for 2024 and 13 million tons contracted for 2025. One of the main benefits of our PAMC coal is its ability to sell into many different end-use markets, which gives us significant flexibility to pivot tons between markets depending on demand strength. This portfolio optimization capability has been evident over the last several years. In 2022, when European demand was strong and API2 prices were at historically high levels, we sold more than 3 million tons into Europe, where we had significantly recruited [ph] in the prior year. In 2023, we initially forecasted selling approximately 11 million tons into the export market. However, due to milder weather domestically and our ability to pivot, we moved an incremental 5 million tons into the stronger international markets to finish the year with approximately 16 million tons of PAMC coal sold into the export market. More recently, we are expanding our reach in industrial and crossover metallurgical markets. Last year, we sold approximately 10 million PAMC tons into the industrial market, which was double the number of tons we shipped into this market in 2022. We believe there are incremental opportunities to expand into this market, specifically to Middle Eastern, African, and South Asian countries that are in structural growth mode. On the crossover sales front, we shipped 2.6 million PAMC tons during the year, which is the highest we have ever achieved. We also shipped nearly 0.5 million tons of coal from the Itmann Mining Complex into the export met market, bringing the total export met sales for the company to more than 3 million tons in 2023. With the commissioning of our fifth longwall at the end of fourth mine, which has a lower sulfur content that is desirable in the crossover met market and the ramp-up of our Itmann Mining Complex, we are expecting further growth in our met coal business over time. Similar to the industrial market, we continue to work on penetrating new crossover metallurgical markets, particularly in South America and Asia. Moving forward to 2024, we expect to follow a similar playbook by building upon our structural export market shift, while maintaining a stable book of domestic fixed price business. There are several tailwinds in the US coal market that gives us confidence in our ability to continue to contract future domestic business. The increasing demand for data centers due to deployment of AI technologies, growth of commercial factories, and EVs is causing electricity usage to soar across the United States. As such, utilities and grid operators are increasing their forecast for US electricity growth for the next five years, well above historical demand trends. As an example, within our operating footprint, PJM anticipates electricity demand to rise approximately 2.5% annually through the decade and increase from less than 1% growth expectations a year ago, mainly due to the electrification of the transportation segment and industrial applications. In Virginia, one utility had to briefly pause new data center connections in Loudoun County because of insufficient electricity supply. In Kansas City, Evergy is seeing the most robust electricity demand growth in decades. This leads us to believe that we could see some slowdown in coal power plant retirements or higher utilization of surviving coal plants. Nonetheless, it provides us with confidence that we will continue to have strong demand from our core domestic customer base for many years to come. For the Itmann Mining Complex, we continue to see strong demand internationally and in the domestic market for our product. In fact, we recently completed a two-year deal for our Itmann product in the export market. For 2024, we now have 571,000 tons of Itmann coal under contract with a balanced mix of domestic and international business. Now, let me provide a quick update on our financial results before providing our 2024 guidance and outlook. This morning, we reported a solid fourth quarter 2023 financial performance, which capped off a very strong year for the company. We finished 4Q 2023 with net income of $157 million. Additionally, we finished the quarter with adjusted EBITDA of $240 million and generated $165 million of free cash flow. We ended the year with a net cash position of $88 million and total liquidity of $525 million. For the full year 2023, we reported net income of $656 million, adjusted EBITDA of $1.05 billion, and free cash flow of $687 million, all of which are annual records for our company. We generated $858 million of cash flow from operations, of which $168 million was used towards capital expenditures and $687 million was available as free cash flow. Of the $687 million, 28% was deployed towards debt repayment, and 68% towards shareholder returns. These together translates to approximately $22 a share based on our year-end 2023 share count. Now, let me provide our outlook for 2024. Starting with the PAMC, we are expecting our 2024 sales volume to be consistent at the midpoint compared to our 2023 level. We view our five longwall complex as having a base production level of 26 million tons with optionality to ramp up or pull back, depending on market dynamics and other factors. We are currently 85% contracted at the midpoint of our guidance range, with the expectation that the majority of unsold tons will move into export markets, most likely the crossover met market, which is more spot in nature. On the pricing front, we expect our average realized gold revenue per ton sold to be in the $62.50 to $66.50 range, assuming $105 a ton average API2 price at the midpoint. Relative to 2023, this range reflects lower commodity pricing, specifically for API2 prices as well as the roll-off of some higher fixed price contracts that were put in place under previous market conditions. For reference, API2 prices averaged $128 a ton in 2023. We expect our 2024 PAMC average cash cost of coal sold to be $36.50 to $38.50 per ton, reflecting modest inflationary increases compared to 2023 levels. The bottom end of our cost guidance captures the potential for deflation in key commodities, including power prices, as well as fixed cost leverage at the higher end of the sales volume range. Conversely, the top end accounts for our reduced tonnage or a stronger commodity market, which would be a net benefit to our cash margins, but a headwind to our power and supply costs. For our Itmann Mining Complex, we are introducing annual sales tonnage and average cash cost of coal sold per ton guidance. On the sales front, we expect a range of 600,000 to 800,000 tons. The lower end captures our current contracted position, while the upper end contemplates moving beyond means development quicker and expanding our third-party sales. On the cash cost side, we expect an average cash cost of coal sold per ton range of $120 to $140. The upper end accounts for the possibility of extended means development, persistent staffing challenges, and reduced tonnage, while the lower end captures the possibility of reduced inflationary pressures and increased production. Lastly, on the capital expenditure front for 2024, we expect a range of $175 million to $200 million. This range is slightly higher than a typical CapEx guidance range for us, but reflects some planned spending from prior years moving into 2024. Keep in mind that we started 2022 with a top end CapEx expectation of nearly $200 million, but only spent $172 million in that year. We also started 2023 with an expectation of $185 million at the top end and only spent $168 million. As we highlighted throughout last year, supply chain bottlenecks have delayed equipment deliveries and extended lead-times and this has postponed certain planned expenditures. With that, let me turn it back to Jimmy.
Jimmy Brock: Thank you, Mitesh. Let me now provide an update on our shareholder return program, which has been one of our key capital allocation priorities in 2023. We deployed approximately 85% of the free cash flow generated during the fourth quarter towards repurchasing shares of our outstanding common stock. In total, through January 2024, we deployed $141 million of our Q4 2023 free cash flow towards repurchasing 1.4 million shares of CEIX stock at a weighted average price of approximately $100 per share. Since restarting our share repurchase program in late 2022, we've retired 5.7 million shares or 16% of our public float over that time period. As we kick off 2024, we have a few key areas of focus that we believe will further strengthen our company. First, we are excited by our progress in expanding our sales reach around the world. In 2023, we were successful in marketing our PAMC coal to three new countries and we are committed to further penetrating new markets, while continuing to expand our sales book in growing markets. This will be made possible through our high-quality coal as well as our ownership in the CONSOL Marine Terminal. Second, we expect to leverage our strong contracted book and customer relationships to continue to layer on future sales in an opportunistic manner. Our contracting strategy has always been designed to smooth out the peak values of the market dynamics, and our strong contracted position to-date allows us to be more patient in softer markets. We believe that one of our strategic advantages is our ability to lock in contract duration, which gives us good revenue visibility and allows us to adjust the business accordingly to manage our cash flow generation. This is one of the main reasons we've generated positive free cash flow every single year since our spin, despite the strength or weakness in the market. Third, to further manage our free cash flow generation, CONSOL is laser-focused on managing our cash outflows. The team has done a good job in identifying unnecessary spending, while working hard to mitigate as much inflationary pressure as possible. It is no secret that inflation over the past several years has increased the cost of doing business for nearly every company, regardless of industry. However, we rarely take a passive approach to problems. We will be focused on reducing spend where possible to expand our cash margins and free cash flow generation while maintaining our core values of safety and compliance. Fourth, we are committed to scaling up the Itmann Mine to full run rate production. While staffing challenges and extended mains development timing hampered the ramp-up in 2023, we are getting closer to moving past these issues. We expect more than a 36% increase in sales volume at the midpoint of our 2024 guidance compared to 2023 levels, and we have seen strong interest for our Itmann product in the domestic and export markets. I remain very excited about Itmann's potential and the revenue diversification that having a low volume met product in our portfolio will bring. Fifth, we continue to focus on returning value to our shareholders through our capital allocation framework. We proved in 2023 that tremendous value can be created through multiple avenues of capital deployment. We will continue to analyze best use of our capital and prioritize the highest rate of return. We are very pleased with our results and execution in 2023, which was a record year for us on multiple fronts, both operationally and financially. We remain even more excited about the future as we are a much different company today due to our stronger balance sheet and export sales shift. I want to personally thank all of our employees for their dedication and hard work, which drove these exceptional results safely and compliantly. I am extremely proud of this team and their execution in 2023. Before turning the call over, I want to highlight a major public awareness campaign that we are spearheading. We were proud to introduce our Not so Fast campaign in the fourth quarter of 2023, which is meant to educate the public, elected officials, and corporate leaders about the truth involved in many of the myths being spoken about coal. The campaign advocates for a more measured, realistic, and moral approach to the energy policies of our country. We believe we are too quickly moving away from proven fossil fuel-based sources of energy like coal in favor of intermittent sources like wind and solar. Coal is pivotal, not just for power generation, but in creating steel and concrete that will be necessary for the infrastructure needed during the transition to renewables. It is also used for activated carbon for clean water, fertilizers for the food we farm, and materials for many of the products we need and use every day. We encourage you to head over to www.coalhardtruth.com and help us spread the word on this campaign. With that, I will hand the call back over to Nate.
Nathan Tucker: Thank you, Jimmy. We will now move to the Q&A session of our call. At this time, I'd like to ask our operator to please provide the instructions to our callers.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Lucas Pipes with B. Riley Securities. Please go ahead.
Lucas Pipes: Thank you very much operator and good morning everyone. My first question is on the 2024 outlook. And I wondered, on SG&A, we saw a nice reduction in 2023 year-on-year versus 2022, what's your outlook for 2024 on that line item? And then how should we think about the Baltimore Terminal and its contributions to EBITDA in 2024? Thank you.
Mitesh Thakkar: Thank you, Lucas. I'll take the first half. On the SG&A side, yes, you noted it correctly. We did -- our SG&A did come down compared to last year. We expect some more decline this year as some of the legacy stock-based compensation is coming down. And overall, I think that continues to be our focus going forward as well, to focus on the cost side, both on the operations side and other parts of our business. So, you should see some tailwind on the SG&A side this year as well.
Lucas Pipes: On Baltimore?
Mitesh Thakkar: Sure. On your Baltimore question, like a -- starting point on the Baltimore Terminal side, from a throughput perspective, is a little bit lower than 2023. We are modeling around 16 million, 17 million tons of throughput. Having said that, if you hear the prepared remarks that we talked about, like about 4 million or 5 million tons moved into 2023 from domestic to export. We could expect a similar shift this year as well. It all depends on where the pricing is, as we have said earlier, that you could potentially see us optimizing our portfolio based on the highest arbitrage that's available. So, the more tons that could move into the export market, the higher the sales to Baltimore would be. PAMC accounts for 80%, 85% of throughput to Baltimore, our third-party contracting is still strong. So, even though the starting point is around, let's call it, 17 million tons, I wouldn't be surprised if we end up doing more.
Jimmy Brock: But Lucas, one of the really important things about the terminal is the flexibility and optionality it brings to us to penetrate these new markets. I mean, Bobby has done a really good job of moving out from our original strategy that we had. That terminal is a key to us being able to move these tons into export markets and to do so fairly quickly if we need to pivot.
Lucas Pipes: That's helpful. Thank you. I'll turn over to my second question. I may come back to this later. If I heard you right in the prepared remarks, the midpoint of your pricing guide kind of underwrite $105 API2 price. And a few questions on that. Are you at the floor of your committed export tons at that price? Or are you at the floor at today's spot price for API2? And then how should we think about kind of a sensitivity of your book to further declines in API2, given the floor dynamics? How should we think about the sensitivity to the upside on API2? Thank you. Thank you very much.
Bob Braithwaite: Lucas, about 6.5 million tons of our book for next year -- or this year, sorry, is tied to API2 prices. I'd tell you today, about 50% of those are, call it, 3.2 million, 3.3 million are at the floor -- at the current price level, API2 price level, call it, low to mid-90s. We hit the floor of all contracts roughly in about the mid- to upper 80s. So, there's not much -- I'd say the downside potential for us is very minimal on a go-forward basis should API2 fall, but we have extensive upside. Our current sensitivity on the upside for every dollar change is about $0.18 across our entire portfolio. So, API2 prices were to come back a little bit, which, again, I think there is still opportunity, I can see a pathway for that, especially with the reduced LNG coming out of the US. We could certainly see some benefits there and that certainly gets us toward our upside -- to the top end of our guidance that we provided.
Lucas Pipes: That's very helpful, Bobby. I had two quick follow-ups. In terms of the 22 million tons that are committed for 2024, can you provide kind of a breakdown of where they're going and what the key drivers for the pricing to the extent they're still sensitive to any inputs? And then also for the crossover tons. How much of your remaining open tonnage is going into the crossover market? And how should we think about the netbacks on that?
Bob Braithwaite: About 13 million tons put to bed for the domestic market next year, which about 2.5 million are linked to power. I will also tell you that this year, we have a new contract that -- with our customer that we have a power link where our base price is significantly higher. We actually do not receive any EMA now until, call it, mid-$40 power prices. The good news for us is we did see some EMA in the month of January. The cold snap that we saw mid to late January certainly helped us. And we originally modeled in basically no EMA in our plan going forward, but we did see some in the month of January. So, again, good news there. The balance, we would expect to sell exports. So, it's another 13 million tons to get to the midpoint of the guidance. On the crossover front, we expect to sell probably an additional 2 million to 3 million tons of our open position. So, 4 million tons of open position to get to our midpoint, 2 million to 3 million would be in the crossover market. And I would say, that would be split between the Atlantic, i.e., South America, and then the other half would be going to the Pacific market. Today, where high-vol B prices are, in the 220 range, we're certainly seeing positive netbacks there close to $80 back to the mine. And then when you look at where TSI prices are for our crossover coal into Asia, it's just slightly lower than that. But again, we very healthy margins there, I'd say, somewhere in the low to mid-70s.
Lucas Pipes: Very helpful. I appreciate the color. I'll turn it over for now. Thank you.
Jimmy Brock: Thank you, Lucas.
Operator: The next question comes from Nathan Martin with The Benchmark Company. Please go ahead.
Nathan Martin: Hey thanks operator. Good morning guys. Congrats on a strong finish to the year and thanks for taking my questions.
Jimmy Brock: Thanks Nathan.
Nathan Martin: Bob, let me stick with you just for a minute. Lucas pretty much touched on most of my 2024 questions. But if we look to 2025, you added 1 million-plus tons there as well. It looks like you're at 13 million tons now. Could we kind of give a breakdown of those tons as well? And maybe where you see pricing -- average pricing on those?
Bob Braithwaite: Sure. So, the 13 million tons we have now, which I believe is an increase about 2.2 million tons since our last earnings call. We have just over 8 million tons domestically, of which 2.5 million of those are linked to power, the balance being export, all our index linked to-date and all do have ceilings and floors. We modeled 2025. We did also model a $105 API2 price, and sitting here today, we're mid-60s across the portfolio for the sold tons.
Nathan Martin: Okay, got it. Very helpful there. I appreciate that. Maybe shifting gears over to Itmann. You've got some guidance there. Sales, 600,000 to 800,000 tons, cash cost per ton, $120 to $140. Let's start with the costs. Again, higher than your peers, obviously, you mentioned you're still ramping things up. So, do you think there will be opportunities to improve on that cost range once you get up to more of a traditional run rate? And then maybe, as it relates to sales, in that 600,000 to 800,000 ton number, does that include third-party sales? Maybe you can remind us of throughput capacity at the terminal -- excuse me, at the prep plant there as well? And then any breakdown, I think you called out 571,000 contracted tons for Itmann. Any breakdown would be helpful, domestic versus export and kind of where you expect to sell the remainder of those tons?
Jimmy Brock: Okay. I'll take the first part of it, Nate. First, let's talk about the cost side, the $120 to $140 guidance that we give. Certainly, a little higher number than we want. But keep in mind, I think as we continue to ramp up in our mains development down to there, we're having to cut additional rock for high -- for ventilation purposes for long-term, which slows down the mining rates a little bit. I think the cost we've seen thus far at Itmann is pretty much reflected for two things. One is volume. Volume Is certainly going to help that cost number as we get more. And we've seen some signs of improvement there, and we think we will begin to improve on that. The second thing is some of these inflationary pressures that we're seeing. And for us, it's pretty much in the equipment, those equipment delays that we've had is not allowing us to run as efficient as we would like to, whereas if we have the new equipment, we think we're going to get more tons per man-hour to come out of that. The labor has been challenging down there, as we've mentioned before. But I think that's beginning to stabilize. We had a management change there at the top. And we think that as we go forward, that's going to be helpful as well, a very experienced and low mining, and those things should help us there. Getting back to the potential of running -- ramping up to full speed. I think as we were very close to being able to turn one of the three sections off into a panel that will give us -- we'll be able to mine at lower highs. We'll see what those volumes are coming out of there. And I look for that to be a better number that helps our overall cost and we'll get to that sooner. But it's going to be pretty much the first half of this year before we have all three of those sections that are running in what we call the mining hub that we plan for, mining and seeing, which has the cost at the prep plant as well. The throughput volume at the plant, it's a 600 ton an hour plant, we think we can put 3 million tons plus through there and the guys are making great improvements there. So, we're looking forward to what our yield is going to look like there. And we're located in a position down there to whereas we'll have opportunities for third-party coal, which will help the cost of that prep plant as we knew that when we put it in, and that's why we put the upsized plant in.
Bob Braithwaite: Yes. And then on the marketing side, Nate, it's very exciting. We've got a lot of interest for the Itmann product. As we mentioned, we got 571,000 tons already sold for 2024. We also concluded a two-year deal with an export customer, so we actually have coal already secured for 2025. I think it just goes to show the attractiveness of the product and the quality of the product. When you look at the breakdown so far, the 571,000, it's almost an equal split between domestic and export to-date. I would tell you that the balance of the volume that we're going to sell will be in the export market, looking at where US, East Coast, low-vol TSI bases are today, I would expect that portfolio average to be somewhere in that $170 to $180 range.
Nathan Martin: And that $170 to $180, Bob, is for the 571,000, that blended average?
Bob Braithwaite: That would be what my expectations would -- are on the total volume that we anticipate selling through Itmann.
Nathan Martin: So, with the midpoint of that range, 700,000 tons is -- what was the price range again, I'm sorry?
Bob Braithwaite: $170 to $180 based on the current marks.
Nathan Martin: Got it. Got it. Okay. That's very helpful, too. So, essentially, it sounds like the realizations there, obviously, domestic is -- domestic. And then on the export side of the house, it's probably a similar based on US low-vol, maybe a discount or no discount. Maybe you can get some color there and then depending on the markets you go into?
Bob Braithwaite: Yes, I mean the discount is very minimal. It's certainly single-digits, and it's low single-digits for the product that we're selling into the Atlantic market today. And then the products that we're selling into the Pacific market, it's, again, single-digits, a little bit higher, I would say, than what we're seeing on the US East Coast low-vol and then you would take the freight differentials between Australia and US. But again, both are providing really realization. As you probably remember, we talked about the domestic book that we -- domestic tons we secured a couple of quarters ago, those are certainly, I'll say, lower pricing than what we're seeing on the export side today. So, again, the export price today, if we can get some more third-party coals, what Jimmy mentioned, to try to get the plant to capacity, that will only uplift that overall pricing or average pricing for the year. So, again, very excited about that opportunity. We're working daily to get more volume to that plant to help drive our costs down and drive our realization up.
Nathan Martin: Very helpful, Bob. I appreciate that. And then maybe just one more. Going back to PAMC shipments. You guys mentioned in your prepared remarks, I think it was three longwall moves in the first quarter. And then maybe one additional in the third quarter. Maybe you could give us an idea, kind of around the cadence of shipments as we move through the year then. Typically, I think the third quarter is probably your lowest, from a seasonality perspective, but it sounds like maybe 1Q volumes could be pressured a bit from the three longwall moves. So, any color there would be great as well.
Jimmy Brock: Yes. Well, on the cadence of the longwall moves, we do have three in the first quarter here. One is ongoing now that we just started. But those longwall moves are -- they don't bother me. It's a sign of progress as we retreat those panels out and we move to the next one. However, we'll shift around our quarter revenues a little bit. Obviously, if you look at the three longwall moves, I use somewhere around 20,000 tons per longwall per day. So, if you have three of those and we have three moves, let's say, our scheduled PO move days are nine to 10 days. So, you can see the math there, whereas we could be slightly short of tons in the first quarter compared to the rest. And typically, the first quarter is our strongest quarter, particularly when it comes to production. I can see that moving out. And then the good news is when we finish these three longwall moves here in Q1, we only have one more planned, and it's in the third quarter. So, it will give us an opportunity to run strong after we get out of this first quarter here from a tonnage standpoint. And then, of course, the market will be -- the market will send those tons to where we market.
Mitesh Thakkar: And so second and fourth quarter would be our better quarters this year, Nate, compared to our history where first is typically the strongest. And same thing with the production, cost goes all the way, so lower production, higher cost, higher production, lower cost. So, that will also flow through your models, I'm assuming.
Nathan Martin: Got it. Thanks Jimmy, Mitesh. I'll leave it there guys. As always appreciate the time and information and best of luck in 2024.
Jimmy Brock: Thank you.
Mitesh Thakkar: Thanks.
Bob Braithwaite: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Nathan Tucker for any closing remarks.
Nathan Tucker: We'd like to thank you all for your participation this morning and for your support of CONSOL Energy. We hope we answered your questions and we look forward to speaking with you on our earnings call. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.